Mads Nipper: Good morning, good afternoon, everyone, and thank you for joining our earnings call. During the third quarter, we continued the progress of our business plan and achieved a number of significant milestones, including CFD awards for three and a half gigawatts in the UK, favorable contract settlements for Ocean Wind 1, and signing of a partnership agreement. We continue to see solid operational performance across our fleet of assets and good overall progress on our construction projects, though we have seen some unexpected challenges impacting the construction of one of our US offshore projects. Looking at our financials for the third quarter, our underlying business continues to perform well, and our operational portfolio have delivered strong earnings. EBITDA, excluding new partnerships and cancellation fees, totaled DKK 4.4 billion in Q3 of 2024, and earnings from offshore sites amounted to DKK 4 billion. The reported EBITDA for the first nine months amounted to DKK 23.6 billion, an increase of 22% over last year, and EBITDA, excluding new partnership and cancellation fees, increased by 12% to DKK 17.2 billion. Based on these solid nine-month earnings, we have narrowed our 2024 EBITDA guidance to DKK 24 billion to DKK 26 billion, once again excluding new partnerships and cancellation fees. During the quarter, we've commissioned 550 megawatts of renewable capacity, bringing us to a total portfolio, our total portfolio to 18.2 gigawatts. In the US, we successfully commissioned the final part of the old solar project, Old 300 and the full 471-megawatt Mockingbird Solar Project. We also added to our construction portfolio, with the final investment decision on two US onshore projects with a total capacity of 500 megawatts. A key milestone was the award of three and a half gigawatts of offshore wind in the UK allocation round six, and thereby securing inflation-linked offtake for a 1.1 gigawatt share of the Hornsea 3 project and the 2.4 gigawatts for the Hornsea 4 project. We are very satisfied with the outcome of the auction and with the added capacity, we move closer to our ambition of 20 to 22 gigawatts offshore capacity by 2030. As announced at our capital markets update, we plan to deliver around DKK 70 billion to 80 billion proceeds from partnerships and divestments in the years 2024 through 2026. We expect that these proceeds will be approximately evenly split over the three-year period, and we are progressing well on this plan, supported by the recent transaction and a number of ongoing processes. Last week, we announced the divestment of a minority stake in four of our operational UK offshore assets to Brookfield. While Brookfield has acquired 12.45% minority share of Hornsea 1 and 2, Walney extension, and Burbo Bank extension, Ørsted will retain 37.5% ownership interest in these assets. The proceeds of DKK 15.7 billion are a significant contributor to our farm-down program, and at the same time we have ensured a high level of value retention with the transaction, which we expect to close before the end of the year. The agreement includes a unilateral option for Ørsted, providing us with the opportunity, but no obligation to repurchase the assets between two and seven years after the closing at a pre-agreed price. We see it as an attractive option to have that call option that we can exercise, ensuring that we maintain a level of strategic and financial flexibility, as well as value upside. Regarding the farm-down of Greater Changhua 4 in Taiwan, our dialogue with Cathay Life Insurance is progressing according to plan. Cathay has obtained the approval from the Taiwanese Financial Supervisory Commission for the acquisition of a 50% ownership stake, which marks the last significant milestone prior to signing of the transaction, which we expect to happen before year-end. In August, we shut down our last coal fuel power CHP plant, the Esbjerg Power Station in Denmark. This marks the end of a chapter in our green transformation, and is the last major step on our journey to meet our industry-leading science-based target of reducing our scope one and two emissions intensity by 98% by 2025. Going forward, our entire energy generation will essentially be fossil-free. Let me turn to the developments across our US offshore portfolio. We have taken important steps to de-risk the ceasing the Ocean Wind 1 project, as we have finalized the negotiations of the cancellation of several supply contracts with outcome significantly better than we had assumed last year when we made our provisions for the project's cancellation costs. As a result of these favorable settlements, we have reversed more than DKK 5 billion of cancellation fee provision during the third quarter, which has had a positive effect on reported EBITDA. Additionally, we have found further equipment that can be used in other projects in our portfolio, which had a minor positive effect on the provision as well. We have recognized a net impairment loss of DKK 0.3 billion in Q3, driven by our updated assumptions regarding market prices for our US portfolio, as well as increased cost and a challenge relating to the installation of the offshore substation monopile at Revolution Wind. These developments were partly offset by the decrease in the long-dated interest rates. Let's turn to Slide 4, where I’ll give a status on our construction projects, starting with Revolution Wind. At Revolution Wind, we continue to make progress on the onshore and offshore construction and have currently installed 52 turbine foundations, nine turbines and 20 array cables. Since taking FID last year, the project risk picture has been evolving. With our direction and our team on site, Eversource continues to manage the onshore substation work and there are no new developments in this area. We continue to expect to follow the updated construction timeline with the onshore work going as the project's critical path. Additionally, we have extended the contracted period for one of our installation vessels using an option we had secured earlier. This does come with higher than anticipated costs, but from a risk and project execution perspective, we see it as the appropriate step to take. These installation vessel costs are incorporated into the impairment that we have booked in this quarter. We are managing a challenge with the installation of one of our offshore substation monopiles. It is a complication related to the piling of the monopile into the seabed, leaving the monopile in a position where although it has been safely driven to the target depth, it may not be suitable for use as currently installed. The course is likely to be related to the resistance within the seabed soil, which is an extremely rare occurrence that we have only seen very few times in our experience of installing more than 2000 monopiles. The offshore substation monopile is in a safe and stable position, and using our extensive experience, our team are assessing the root cause and establishing the best path forward for the project. The offshore construction activities, including foundation, turbine, and array cable installations, are continuing as planned, and we do not expect to change the commissioning date of the project. As a result of this complication, we are expecting additional costs to complete the project, which, despite these developments, still holds a positive value from an absolute lifecycle IRI level, as well as an attractive forward-looking return. This is an evolving situation, and we are still evaluating all options, but have incorporated a prudent cost estimate into the impairment calculation, and we have increased our contingencies accordingly. For our German program, we are working on the final pieces of commissioning at Gode Wind 3. All turbines at the project have been installed, and 21 out of the 23 turbines have been fully commissioned. The remaining two turbines are undergoing final testing, and we expect to commission the full project in the very near future. At Borkum Riffgrund 3, all monopiles have been delivered and installed, which has been one of the supplier contracts that we had monitored diligently and worked on mitigating actions. 85% of the turbines are installed, and our part of the construction scope are fully on track. However, we have been informed by the German transmission system operator that the grid connection will be delayed and therefore first power is not expected until Q4 of 2025, with commissioning in Q1 2026. The delay of the grid compensation will be compensated according to market regulation, and therefore there is no impact to the value-creating of the project. In Taiwan, we are progressing the construction of Greater Changhua 2b and 4, with the installation of the offshore substation about to commence. The fabrication of foundations and cable are progressing well, and the turbine foundation installation is expected to start in the first half of 2025. At our Sunrise project, we are progressing the onshore construction work according to updated schedule, and the offshore installation is expected to commence in 2025. The project is progressing on a tight schedule, as we work towards commissioning at the end of 2026 or first half of 2027. As I mentioned, we have secured offtake for the Hornsea 3 project with a 1.1 gigawatt award in the recent allocation round six, which also resulted in the capacity of the project to increase to 2,955 megawatts. In onshore, the construction of our European and US portfolio is progressing well, with construction work ongoing in Germany and Ireland. We have an attractive pipeline of onshore development projects, and recently took FID on two US projects with strong value creation and expect to bring further projects to FID in the coming quarters to support our continued growth in our onshore business. With that, let me hand over the finances to you, Trond.
Trond Westlie: Thank you, Mads, and good afternoon, everyone. For the third quarter results, let me start with Slide 5 and the EBITDA for the quarter. For the presentation, all numbers are quoted in Danish Kronas. For the group, we realized total underlying EBITDA of DKK 4.4 billion. Total EBITDA, including impacts from cancellation fees, is DKK 9.5 billion. Let me walk you through the main earnings developments for the quarter. For our offshore sites, earnings were around the same level as last year. This was driven by ramp-up generation, higher prices on our green certificates, and improved earnings from our power trading activities. These effects were offset by the divestment of London Array in 2023, as well as lower wind speeds and availability due to the planned outages. Earnings from our existing partnerships were slightly lower compared to last year, and were mainly related to constructional Borkum Riffgrund 3. Lastly, as expected and reflected in our guidance, at the start of the year, we have incurred higher cost as a result of internal spend on ceasing execution of projects and have recognized the higher share of cost being expensed. For onshore, earnings increased by almost DKK 200 million due to ramp-up generation from new assets than have been commissioned. Within bioenergy and other, earnings from our combined heat and power plants increased by around DKK 100 million as a result of higher heat generation and compensation from Energinet for keeping three of our Danish power stations operational until August. Within gas business, earnings decreased as we recognized temporary positive effects from reevaluation of our gas at storage in 2023, which was not repeated to the same extent this year. Finally, we have continued to work through the contracts relating to Ocean Wind 1, and during the quarter we have reversed cancellation fees of DKK 5.1 billion due to better than assumed outcomes of the contract settlements. Turning then to Slide 6 and our net profit and ROCE. As part of our Q3 2024, we have recognized a net impairment loss of DKK 300 million related to our US portfolio. The main drivers are negative impact of updated assumptions regarding power prices and costs. These updates were partly offset by decrease in the long-dated interest rate in the US during the quarter, leading to lower weighted average cost of capital levels across our US portfolio. The effect from the decreasing interest rates led to an impairment reversal of DKK 2.4 billion. Let me walk you through the project specific developments. For Sunrise Wind, we reversed DKK 1.5 billion, driven by the impact from the lower interest rates, the positive accounting impact from completing the acquisition of the 50% share in the project at a price below our recoverable amount, was countered by adjustments to the tax basis impact and a consideration of the market appetite in relation to a potential future farm-down. Furthermore, there was a negative impact from the updated assumptions for power prices. For Revolution Wind, we incurred an impairment of DKK 1.2 billion in the quarter. The offshore substation monopile challenge that Mads mentioned, and the extended vessel charter, have led to an increase in the expected cost of the project. In addition, we have reassessed the risks related to the offshore scope of the project, leading to higher contingencies being added. In addition, we have lowered our assumptions for the future power prices. Finally, updates to the power price assumption in our US onshore portfolio has resulted in impairment losses of DK 500 million. Let me remind everyone again that as we have had to recognize impairments on these projects in the past, any changes to the business case including movement to the interest rates, are likely to lead to further adjustment to impairments as there is no headroom. At the same time, it is important to keep in mind that once the projects are operational, they will contribute with significant earnings and cash flow throughout their lifetime. The adjusted net profit totaled DKK 400 million, with the difference to last year primarily driven by exchange trade adjustments to our net financial income and expenses. Our reported net profit was DKK 5.2 billion, driven by the significant positive EBITDA impact from the reversal of cancellation fees relating to Ocean Wind 1. Adjusted for impairments and cancellation fees, our return on capital employed came in at 11.5%, which is in line with the number for Q3 2023. The reported ROCE landed at 8.1%, and was primarily driven by a lower EBIT as a result of the impairments and the cancellation fees over the last 12 months. Then let's turn to Slide 7 and our net interest bearing debt and credit metrics. At the end of the third quarter, our net debt amounted to just shy of DKK 63 billion. While our cashflow from operating activities was supported by our operational earnings, it was more than offset by payments of settlements related to Ocean Wind 1 contracts and a cash outflow relating to construction of Hornsea 3 transmission assets. For the first nine months of 2024, we have had cash outflow of DKK 5.9 billion relating to cancellations fees from Ocean Wind 1, of which DKK 1.8 billion was in the third quarter. In total, we have now reversed more than DKK 6 billion, and as a result of our settlements, we have around DKK 3 billion left of the provision, and expect to close out more towards the end of the year. For the quarter, our gross investments totaled DKK 9.8 billion, driven by our investment into the construction of our renewable project portfolio. In September, we executed an early redemption of the remaining hybrids, with first reset debt in November, in line with standard market practice. In terms of net debt position, I want to highlight that the proceeds from the minority transaction with Brookfield is not reflected in our third quarter accounts, and therefore the benefit from this transaction will come during fourth quarter, as we expect to close the transaction before the year end. Our key credit metrics, FFO to adjusted net debt stood at 13% at the end of the third quarter. Compared to last year, the decrease was primarily driven by lower FFO as a result of payments related to the settlement of contracts, as well as a higher net debt position. However, our FFO and net debt for 2024 will expectedly be better than what we assumed at the beginning of the year, giving the favorable contract settlements related to Ocean Wind 1. As we shared in February, the ratio is expected to be lower for the full year of 2024, before starting to recover towards the targeted level above 30% by the end of 2026. Then going to Slide 8 and our non-financial metrics. For the first quarter of 2024, our taxonomy-aligned metrics were in line with expectations. Renewable share of energy came in at 97% compared to 92% for the same period last year. Development was driven by ramp-up generation in offshore high wind speeds, as well as lower coal-based generation. For our renewable share of energy generation, we have seen an increase driven by higher share of renewable projects coming online, combined with a decrease of coal-based generation. Additionally, the shutdown of our last coal-based combined heat and power plant, puts us on our target of essentially having a fossil-free energy generation by 2025. On safety, we are encouraged to see another reduction in the number of recordable injuries, both for our own and contractors’ employees. And finally, going then to Slide 9 and our outlook for 2024. As Mads mentioned in the beginning, our solid financial performance for the first nine months have led us to narrow our full-year EBITDA guidance of DKK 24 billion to DKK 26 billion, From previously DKK 23 billion to DKK 26 billion. Compared to our full-year expectations for the earnings mix at second quarter, we now expect lower earnings for the bioenergy and other business as a result of lower volumes coming from the delayed TR gas build and less favorable development in our gas at storage, as well as lower earnings for our combined heat and power plant business. Our level of gross in in the range of DKK 36 billion to DKK 40 billion, which is a reduction of DKK 8 billion compared to our expectations at last quarter or second quarter. This is due to timing effects across our project portfolio as significant milestone payments are expected to move into next year. And with that, we will now open for questions. Operator, please.
Operator: [Operator Instructions] Our first question comes from Peter Bisztyga in Bank of America. Please go ahead.
Peter Bisztyga: Yes, good afternoon. Thank you for taking my question. I'll just do one for now. So, I wanted to explore the risks to Sunrise and Revolution Wind should basically Trump win the presidency this week, I presume it's likely would lose the bonus ITC as a minimum. I think your impairment tables now show that that would be nearly a DKK 5 billion impairment. But do you have any concerns that the administration could move to delay or even block construction either indirectly or directly on these projects? So, for example, by refusing to defend some of the legal cases that have been filed against BOEM with respect to Revolution? So, interested in your views. Thank you.
Mads Nipper: Thanks a lot, Peter. Yes, so let me remind everyone that the two under construction projects we have in offshore, Revolution and Sunrise, are both fully permitted, and since this is the role that the federal level is playing, this is something where we have not changed that risk outlook at all, and we are confident that the construction can move ahead.
Peter Bisztyga: Sorry, can I just follow-up? But there is a possible risk you could lose the bonus ITC on those. Is that correct?
Mads Nipper: We do not assess that as a material risk, because we are we assuming 40%, and this is something we expect to be firmed up in terms of the energy credits community or energy community credit. So, we see immaterial risk of that happening.
Peter Bisztyga: Good. Thank you very much.
Operator: Our next question comes from Jenny Ping at Citi. Please go ahead.
Jenny Ping: Thanks very much. A couple of questions from me, please. Just going back to the transaction with Brookfield, I just want to understand what conversations have you had with regards to the FFO net debt definition, given that it's now going to be effectively a minority stake treatment? Is that still included? So, does that artificially boost your FFO net debt numbers, given it's done on a consolidated basis? And then linked to that, obviously with the call option in place, it can be seen as you've just sort of taken out a loan to repair the balance sheet for the time being. Is there any insights you can give us on the pricing of the buyback of the assets, or what sort of rate you are paying in effect for that loan? And then lastly, I note that it's very much of a buyer's market today in some of the assets. There's a lot of assets coming up for sale. I know you've got a balance sheet fix to make, but is there any aspirations to acquire some of these assets that's coming up for sale to sort of bolster the longer-term plans and growth profile of Ørsted? Thank you.
Trond Westlie: When it comes to the (indiscernible) transaction, as we do with all our farm-downs and transaction, we of course evaluate all the different structures and the elements to each one of them. When it comes to this transaction, this is, we are selling 25% or 24.5% of our part of the assets. And as a result of that, not more than that is taken into consideration as such. For all the transactions, it’s important to us to look at the FFO multiple relative to where we are, because we are in a transition and we need to strengthen part of our balance sheet. So, that of course is a part of it, but that is not the driving force for the structure of the transaction as such.
Mads Nipper: Yes, and I can comment on your last question, Jenny. I mean, in terms of the assets for sale, we are fully focused on executing on our strategy. We will, of course assess options, but we have no specific plans or need to reach the ambitions that we set out at the plan that we launched in February.
Jenny Ping: Thank you very much. Sorry, Trond, if I can pin you down a bit in terms of the FFO net debt. So, you will do it on a group basis. There's no sort of minority adjustment as a result of the minority share that you no longer own?
Trond Westlie: Well, it is of course got to be recorded as a minority interest in both the P&L and the balance sheet. But other than that, what you alluded to was the discussion we had around FFO to net debt as a sort of a condition to the transaction as such, and that has not sort of been any driving force. It's more overall transaction together with also, as you mentioned, the option which is not sort of in the money as such. It's more an element of flexibility that we actually find very interesting relative to the position we are in today.
Jenny Ping: Okay. I might follow up with our team because I don't think it's super clear, but thank you.
Operator: Our next question comes from Deepa Venkateswaran with Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. I'm probably going to also follow up on the same point. So, you've mentioned that the deal has a high level of value creation. Because of the accounting, you are not obviously able to quantify the book gains. Would you be able to provide any indication of what was the book value of the assets of your stake that you're selling so we can work out, as per our assumptions roughly, maybe it's DKK 5 billion book value, maybe you could save your way off. And secondly, the call option, right now you say it's not in the money. Presumably if you exercise this after four, five years, the cash flows from the assets have run off further. They're already five years old, I think, on an average now. So, presumably this valuation already reflects that runoff value, et cetera. So, what would be the circumstances under which you will buy them back, right? Maybe you could just help explain on what circumstances you might buy them back. Is it power price assumptions, interest rate changes, or your balance sheet being in a better position in a few years? Could you just help maybe explain that? Thank you.
Trond Westlie: In relation to the guiding of the transaction, I mean, we have looked at the - we are looking at this transaction to be recorded when we close it, and then we target that in the fourth quarter as sort of a minority, basically a minority sales. So, we have not looked at the book values, and we haven't really looked at the alternative way of booking it. So, as of now, I cannot give you any guidance on that. And going forward, the option value is of course an element that we’re looking for the flexibility and the dynamics. And as I said, since it's not in the money today, I guess that sort of relates to what you can look at when you actually look at the market price development and so forth in the UK market going forward, and that's basically what the triggers then will be.
Deepa Venkateswaran: Okay. So, it’s been the higher power price or something on that front. Okay, thank you.
Operator: Our next question comes from Casper Blom at Danske Bank. Please go ahead.
Casper Blom: Yes, thank you very much. Also a question regarding the Brookfield transaction. You sold down now part of actually operational assets and selling below the 50%, and you've also said in the past that doing so was probably part of the farm-down plan you presented in the early past this year. Are we now done with that part of the plan, or should we expect that there could be additional farm-downs of parts where you today own 50%? Thank you.
Mads Nipper: Yes, so thank you, Casper. I mean, we have very deliberately not given details of the transaction or the farm-down plan that we launched in February, and that is to retain a full flexibility to ensure that we pursue the farm-downs that are most attractive for us. So, we are not going to give any specific guidance on it, but you can say overall, as we also communicated, the simplified, there’s a standard model of farming down 50%, and then there are select cases where we would also sell minority shares of operational assets. The one thing that we did mention, and this is still likely to happen, is a share of a minority share of West of Dunddon Sands. We did talk about that in February, and that is therefore something you can still expect to happen. But any further comments on the details will not be made because that would take away a flexibility for us to pursue the most attractive farm-down options.
Casper Blom: That's very clear. Thanks a lot, Mads.
Operator: The next question comes from Harry Wyburd at BNP Paribas. Please go ahead.
Harry Wyburd: Hi everyone. Thanks. Taking my question. So, I wanted to turn to the DKK 5 billion write-back you made on the cancellation fees. So, I'm interested to know what you'd spend that additional headroom on. So, would you just bank it as lower debt ratios? Would you want to use that money to reduce the number of farm-downs you do or even increase perhaps your organic CapEx plans? I guess the DKK 5 billion on its own is not an insignificant amount of money, but I'm also interested for more general sense if other things go better from a cash perspective in future, where you have a preference of putting any incremental balance sheet dollar that you get. Thank you.
Trond Westlie: Well, I think we are very happy that it ended up this way and that the team that has dealt with the sort of resolving the situation, we had the notion and has come as far as we have. Having said that, and also you alluded to, DKK 5 billion is a big amount of money, but having sort of, if you look at the proceeds level that we are actually looking for in the next, in 2024, 2025 and 2026, it is sort of roundabout the DKK 70 billion level. So, in that sense, it helps us in sort of the pressure of this, but it's not a significant number in the overall funding of our business plan towards 2026 or 2030. So, I don't think sort of this result of Ocean Wind actually takes us to a position that we want to elaborate on priorities going forward on that measure.
Harry Wyburd: Okay, fair enough. Thank you.
Operator: Our next question comes from Alberto Gandolfi at Goldman Sachs. Please go ahead.
Alberto Gandolfi: Hi, and thank you for taking my question. I’ll stick to one. I just wanted to ask you what percentage of Sunrise and Revolution US projects in general, what percentage of equipment or services are imported? And the reason I'm asking is because just in case we assume a levy is imposed by a new administration, I was wondering, do your contracts foresee any sort of pass-through? And I guess the answer is not right, because you basically have a contract. And so, I'm just trying to gauge the risk here of like trades, I wouldn't call it trade war, but I say incremental levies, maybe delaying the delivery of equipment, leading to more impairments or perhaps increasing the costs of what you are developing. Again, I know it's a what if question, but if you could help us navigate understanding the contract and what percentage is important, it will be really helpful. Thank you.
Mads Nipper: Yes, thanks a lot, Alberto. I can't give you the specific percentage because we simply don't have that top of mind. We are, as we told, we are actually quite well advanced on the construction of Revolution. I mean, 53 out of out of around 65 monopiles have been installed, nine turbines, and a lot of the equipment is already there. So, in that sense, you can assume that the outstanding there would be relatively limited. And then if there is - I mean, and again, this is pure speculation, but there would be an implementation period, which we are convinced that should that even happen, that this would be something there where there would be a period to ensure that the effect is in any instance, even in a worst case scenario, quite manageable.
Alberto Gandolfi: That's actually helpful. Thank you so much, Mads.
Operator: Our next question comes from Robert Pulleyn at Morgan Stanley. Please go ahead.
Robert Pulleyn: Hi. Thank you. I'm going to shift gears given lots of questions on the existing topics already. I observed from one of your slides that in Poland, Baltica 2 is now pending FID. I suppose it was pending FID before, rather than being indicated that it was a 2027 COD. And I was wondering what's changed? Is there any material cap expense which may lead to some impairments there? If you could add a little bit more color, that would be super helpful. Thank you.
Mads Nipper: Very happy to, Rob. No, there are no changes. We are in exactly the same situation as we have talked about before. And there are no changes to the expected schedule. We are working towards an FID with the main outstanding being the project finance for our partner PGE, whereas the EPC parts of the projects are well progressed and also without any negative surprises with our current knowledge. So, there is no material news on that and we hope to work towards that FID towards the very end of the year.
Robert Pulleyn: Okay, thank you.
Operator: The next question comes from Jingjie Yang at UBS. Please go ahead.
Mark Freshney: Hello. Good afternoon. Sorry, it's actually Mark Freshney from UBS, but thank you for taking my questions. Firstly, on Hornsea 4, clearly a very large increase in the strike price. What are your indications on costs telling you and how do you sit within the kind of like WACC to 150 plus 300 bps kind of return? And my second question is just on wind speeds. We're now three and a half, almost five years into a period in which wind speeds seem to have been structurally lower. I understand that you've commissioned work on this, and you've done your own work to try and understand this, but what confidence do we have that many of the existing assets which were built on a business case with a given IRR and a given wind speed and load factor, what certainty can you give us that those kind of load factors still stand? Thank you.
Mads Nipper: Yes. Thanks a lot, Mark. You'll be unsurprised to hear that we are not going to comment specifically on the value creation of Hornsea 4 and also therefore where it sits in the range of 150 to 300 basis points spread to WACC. But as we said before, we are satisfied with the value creation of the projects, and since the award, it has progressed further as we plan. Also specifically on the cost, we are not going to give you any details, but as you'd expect, which is also why the price came in higher, that the per megawatt CapEx is higher than it was for Hornsea 3, which was contracted majorly before the steep end of that curve. But we are satisfied with the returns of both projects. In terms of the structurally lower wind, we’re actually not, at least where we have our offshore assets, seeing a structurally lower wind this year. It’s very, very close to normal wind speeds. And it was also close last year. So, therefore we have no concerns that where we have by far the majority of our assets that we are looking at this. We had one really challenging year in in 2022. But 2023 and 2024 so far has been very close to normal. I don't remember mistakenly - as a matter of fact, this year has been a tad above normal winds.
Mark Freshney: Okay, thank you very much. Very interesting.
Operator: Our next question comes from Dominic Nash at Barclays. Please go ahead.
Dominic Nash: Yes, good afternoon, and thank you for taking my questions. Can I ask two questions? Firstly, on your CapEx numbers where I think you've dropped 2024 guidance by 20% which seems quite a big drop this late in the year. I think you said it's to do with timing. Can you just remind me again your CapEx numbers, is it based on an accrual or on cashflow basis? And will that sort of like reverse in future years? And the second question I've got is I was intrigued by what's going on in, I think it was in Sweden yesterday where I think the government basically has canceled a whole bunch of offshore wind projects for security reasons. Is this something - is this going to be a trend that we might see throughout the whole of the Baltic in light of sort of the Russian sort of threat? And then whilst you look around the rest of the world at some other assets, I think potentially in maybe even Taiwan, if Taiwan wants to be able to see what goes on beyond their radar, I'll be intrigued to see what your thoughts are on offshore wind and security. Thank you.
Trond Westlie: Well, to take the easy part of your questions, on the CapEx side, yes, it is on the cash flow basis. And the second part is also a yes, that it's the timing element and therefore the cashflow is then - are going to be pushed forward to the later years.
Mads Nipper: And I'll be happy to comment on the defense considerations and specifically in Sweden. But let me start by saying that we fully understand the concerns of the armed forces and the government in Sweden to ensure that security concerns are taken seriously, indeed. That said, Ørsted actually has considerable experience in working with other Baltics sea countries on collaborating with governments and armed forces in terms of actually utilizing offshore wind farms in a constructive way towards strengthening defense. And that is, I mean, I can't go into detail, but we are one of the few developers who actually have NATO-cleared personnel to work very specifically on solutions that can help. And we have that both in Denmark, in Germany, and in Poland. And given our dialogues with these governments, we have no reason to believe, to the sort of the direct question you have, whether those security concerns will be something that'll spread further to be something that stops or slows down offshore wind.
Dominic Nash: Okay, thank you.
Operator: Our next question comes from Olly Jeffery in Deutsche Bank. Please go ahead.
Olly Jeffery: Hi. Thank you. I just wanted to return to the Revolution Wind. So, two questions on that. One is, can you give a breakdown of the DKK 1.7 billion additional impairment in this quarter. What is that split between vessel monopile issue and other issues there might be. And then I know that you are saying that there's no risk as it currently spans to the commissioning date of that project in 2026, but I just wanted to understand that if you continue to have problems with installing the monopile for the substation, at what point, how much time effect do you have to resolve that before that 2026 date might come as a concern? And then finally, on Taiwan and that sale, can I confirm that you are confident that the price of the closing and the proceeds of that will come through by the end of the year? Or are you just hoping to get the deal done, the proceeds coming next year? Thank you very much
Trond Westlie: On the changes to the project, it is really the elements coming in on Revolution is that basically as Mads said in his introduction, it is the vessel that has come to a closing of the agreements together with the monopile challenges that we have looked at and are in the midst of the mitigation evaluations relative to how to solve it. And that is sort of the elements, together with a review of the project when it comes to the offshore part on the contingencies that we have catered for. So, those are the elements that goes into the DKK 1.7 billion. And further than that, we are not going to be very specific.
Mads Nipper: And let me comment on the risk of further schedule impacts. We don't see that risk currently, Olly, and that is because the critical path in terms of the schedule of the project is on the onshore substation. So, therefore, the current assessment is that even in a conservative scenario, that the installation of monopiles will not be something that we foresee will impact the overall schedule. And also, this is also because we are well progressed. We have installed the majority of the monopiles already. So, we cannot see that that is something that would have a schedule risk either. And for Changhua 4, this is one where we do expect the signing, if I understand your question correctly, both the signing and also a closing very close to New Year. So, it is expected this year, but could potentially live into early next year. But that's the schedule. And we are - since the last regulatory hurdles have been overcome, we are very confident that it will happen at around that timeline.
Olly Jeffery: Okay, thank you very much.
Operator: We continue with Helene Kvilhaug Brondbo at DNB Markets. Please go ahead.
Helene Kvilhaug Brondbo: Yes. Hello. I also had some questions related to this quarter's impairments. Since the offshore part has already been asked about, I thought I could go into the onshore one. So, I was wondering if you had any details on how much of those impairments relates to what you define as higher costs, and how much to lower prices and what costs are up. And my second question relates to the farm-down on Sunrise. How do you see this progressing, and do you think that's sort of the, I guess, both the supply chain issues in the US, as well as the supply-demand balance of projects? With a lot of projects to be sold in the US now, how has that impacted farm-down or the acquisition appetite?
Trond Westlie: When it comes to the impairment on the onshore, it is two elements that drives the effect of that during this quarter. It's the interest rate effect that has a positive element. And the second thing is more technical element that it's relating to our adjustment of long-term market prices. And that is a pure technical element because it is an impairment done basically on the derivative, a financial derivative coming out of a contract on one of our onshore assets that drives the reduction on an NPV on the project. And as a result of that, it's really sort of effectively a technical downturn, even though it is a hedged accounting element. And that is basically coming out as a DKK 700 million adjustments. So, that's one element. So, there is no cost element that drives the impairment elements on the onshore. It's a pure technical in our view, the adjustment to the impairment. On the Sunrise, sorry, on the Sunrise follow-up, of course the market is of course challenging in the market. We have seen the changes. We are, as usual, planning our process very diligently and are doing our sounding on the investors. But of course, as you're saying, the more negative trends coming out of the US market, of course it will sort of challenge our way to go forward. But as we see it now, we haven't changed our view on the likelihood of being able to farm-down going forward. But of course, it's election today, so many things can happen. So, but as of now, we have not changed our views and our plans relating to farm-down of Sunrise.
Helene Kvilhaug Brondbo: Thank you.
Operator: Our next questions comes from Meike Becker at HSBC. Please go ahead.
Meike Becker: Yes, thank you so much for taking my questions. If I could come back please, to the asset rotation on the founder program, I mean, as you guided through (indiscernible) it's going faster than expected, but is the quality as expected or better or worse? And I guess with the first round of deal announcing with the minorities treatment, that is difficult to assess. So, would you be willing to talk about the 2030 net income expectations? So, you have given guidance on an EBITDA level, but internally, I'm sure you have a view on sort of like your net income expectations for 2030 as well. What you'd be willing to share with us is relative to your in-house expectations, without saying what the numbers are, is like, is it better, is it worse, or is it similar to what you said on the EBITDA range, the same? Thank you.
Trond Westlie: In relation to our targets that we have for 2026 and 2030, we are working towards those numbers, and as of now, we are moving towards those guides and targets that we have given. We see it more naturally to actually give you updates on our longer-term targets once a year than just because of elements coming into every quarter. So, as a result of that, we actually do think that we are not giving you any updates on the 2026 and 2030 targets as of now. There still are targets. It's still within our working space. So, as of now, we do not have any other updates than to say that 2026 and 2030 is firm. When it comes to the specificities that you are talking about, about minority interest, we haven't really considered the effect of those, and that is also dependent on the farm-down processes that we are going to do going forward. So, all in all, I see this as a more holistic overview that we're not going to do on this quarter call.
Meike Becker: Okay, thank you.
Operator: Our next question comes from Ingo Becker with Kepler. Please go ahead.
Ingo Becker: Yes, thanks very much. Good afternoon. On the Brookfield transaction a question please as well. The price you got of DKK 37 per kilowatt does actually look good versus the DKK 44 you achieved on average in the previous 50% farm-down. Just wondering if you can share if your own assessment for these projects in general have changed, or if your own internal IR calculations over time have remained the same, and you would explain the roughly DKK 17 drop in the price. And again, I don't think this is a lot for a five-year period on average, whether that's sheer passage of time or whether other things have changed. And also if maybe that type of farm-down where you keep consolidating a 50% stake, so you have no - it doesn't cost you any EBITDA. You get cash in and during that debt funds flow from operation actually improves, if we might see that again or more often, it's not a viable way of doing a farm-down also maybe with other projects. The other questions I had would please still be on the Swedish situation. You have commented on that. I'm just wondering if here's a new element included, I mean, as you mentioned, that you are generally in talks with governments on defense issues. My understanding so far was that you might use your (monolith) towers to certain radars or something. And here it seems to be the case that the Swedes are actually worried that the wind parks prevent the detection of unfriendly actions rather than itself being the target. Is there a new element here or have you come across this kind of worries in other situations before? Is it really Swedish, Russian specific? Thank you.
Trond Westlie: When it comes to the value of the assets with Brookfield, we agree with you that we think the transaction is value-accretive and financially attractive. The changes from before is of course, that the interest rate has changed together with the CFT period is shortened. And as a result of that, there's more merchant risk coming into the valuation. So, all in all, there are elements going into this, but the transaction, as we see it as per today to today's market conditions, we see actually a very high level of value retention. So, all in all, a good transaction for us. And when it comes to the elements so going forward, whether it's going to be minority interest or proportional consolidation, that depends on where we can actually see value creation in the different transaction and what counterparts we are going to have. So, it really depends on the elements in front of us. We actually do think that the value of the transaction and the financial attractivity for us and the value retention is the biggest drivers, and that what we are going to look for. So, difficult to give you guidance on where it's going to be, but it's not sort of natural for a company of our size to have some minority interest in there.
Mads Nipper: Yes, I think I'll happily comment on the Sweden question, which is an extension from before the - so we have not come across in our dialogues with other governments and armed forces, the situation where applying radars or other technology, sonar technology or other technologies, should be an additional concern on the country. So, with the knowledge I sit with today, this is an isolated Swedish view.
Ingo Becker: Okay, thank you.
Operator: The next question comes from David Paz at Wolfe Research. Please go ahead.
David Paz: Hi, good morning. Thanks for taking my question. Can you hear me okay?
Trond Westlie: We hear you.
David Paz: Okay, thank you. Just thank you for all the detail on Revolution. Just maybe a couple of follow-up questions. With the monopile issues you identified and the vessel extension, are those things that arose in the recent weeks or, I believe you mentioned something on potential vessel extension in the past, but just is it something that's more new or something that you've been kind of - it’s been percolating? And then how will you be providing progress updates on the - I believe that you characterized it a rare occurrence. How do we know it's successful and is there an operational project that has had this issue to which you can point? Thank you.
Mads Nipper: Yes. thanks a lot. So, the issue we have mentioned before that we are working on potential further mitigations on the projects to protect the schedules and also balancing the risks of the projects and how to best mitigate these. Now, this extended vessel lease is one that has come at a higher than anticipated cost, and that is a negotiation that has been closed very recently. So, therefore that is new. And likewise, the monopile issue is actually very recent, and it is something where this has happened within literally the last couple of weeks, which is also why we have had an early but a prudent assessment of what the expected costs and impact of that can be. And in terms of the second part of the question was that how to provide updates. We will obviously do that in our quarterly calls, but it is a new information. It is to the best of our current knowledge. We believe we have taken a prudent approach. And like Trond said, we have also generally taken a risk review and updated our contingencies for the project. You also mention - you also asked about whether this monopile refusal has happened before. As I briefly mentioned in the introduction, it has happened twice before with over 2,000 monopiles installed. And therefore, it is extremely rare that it that it happens. So, this is not something where we see an extended risk, but it is something in this type of EPC project that can happen, but are very, very rare occasions only.
David Paz: Okay. And just the higher cost more related to the vessel than this refusal, monopile refusal issue, I presume. Is that correct?
Mads Nipper: Now, we are not going to share the split, as Trond said, of this. So, we won't go into the details of the different buckets. But the three categories are the vessel, the monopile refusal, expected cost, and the higher contingencies and power price assumption. Those are the buckets, and there will be no further specification of that.
David Paz: Okay, thank you.
Operator: We continue with some question follow-ups, starting with Casper Blom.
Casper Blom: Yes, just a quick one. Thank you. You mentioned that you had updated your power price assumptions and that had some effect on the US business. If you could maybe sort of elaborate a little bit on what you've changed and what your new assumptions are, if you would be happy to share that. And also maybe a little bit more insight to your sort of methodology of wanting to do this. Is this something that you've decided to do for some sort of reason, or is it part of an ongoing process? Thank you.
Mads Nipper: No, it's a fully - thank you, Casper. It's a fully standard process where with a certain interval, we update our long term power prices, and therefore we also accordingly update the view on the business cases. And when a project is in impairment territory, any change to that project will obviously become visible in our accounts. And in this case, the update of the longer-term power prices has meant a decrease of the US power prices, which is, as opposed to Europe, where the update had actually not brought a further decrease. So, this is an isolated issue and it's fully part of a standard operating procedure that we have done for a very long time and see prudent to do at a certain interval.
Casper Blom: Understood. And just as a follow up, maybe just because I'm curious, but when you take these views on the longer term power price, are these analysis that you do yourselves or are you sort of applying an average of external consultancies, or what's the process? And is there a reason for deciding on lower power price in the US?
Trond Westlie: Well, this is a process that we have is fairly thorough. We have a good group of people that are very into the details of the development of the market prices in the territories we are, and we have a thorough process within the business. Of course, we use all the benchmarks, external benchmarks as a part of it, but of course also that we have a separate view on it. And so, we have a thorough process. We have both a quarterly and an annual process on this. And that is very much our own work that we do for ourselves and do not disclose to anyone.
Casper Blom: Okay, thanks a lot.
Operator: Our next follow up comes from Peter Bisztyga at Bank of America.
Peter Bisztyga: Yes, it’s Peter Bisztyga here again. So, just wanted to sort of follow up on the Revolution Wind construction process. Is it fair to say that given that you've now got over 80% of monopiles installed, the turbines are going up, most of the equipment is on site, you've now got the vessel contracted. Okay, you’ve had one in a thousand issue on one monopile, but hopefully won't have two of those. Is it fair to say that the sort of window for further operational impairments has narrowed sort of considerably here, or are there any other significant sort of known unknowns that we need to be aware of that could kind of throw up a problem in the next few quarters? And sort of linked to that question, do you think that the contingencies you've made for Sunrise wind are adequate given the problems that you've had so far at Revolution? Thank you.
Mads Nipper: Yes. happy to comment on that. You're right, Peter. Despite these recent challenges, we are well advanced in the construction of Revolution. And also, it gives me reason to mention that despite this monopile installation challenge that we are facing right now, as opposed to some other project disruptions that have happened in our industry, construction is continuing full speed at the same time. So, there's no disruption of the further turbine monopile or turbine installation process or array cable installation process. That continues at full speed at the same time, which is also why to the question I got before is that we do not think this introduces any material risk of further project delays. So, with 80% of the monopiles installed and turbine installation also happening and picking up in speed, this is - everything else equal, is being de-risked and therefore is something we feel with the current contingencies, we feel good about. But that said, we can never say that there are no risks left in a project until it's done. But we are - we do feel comfortable with the current knowledge that what we have now makes this a robust project. And in terms of Sunrise Wind, yes, we are of course assessing that all the time, as we said, what impacted us last quarter, and therefore also the overall project timeline onshore in Revolution, that is fully on track for Sunrise. So, that is one critical bottleneck. And we also do see that there are no news on the monopile deliveries. We are still on plan that we announced in the last quarter for that monopile supply. So, yes, with our current knowledge, we do feel that that is at an appropriate level.
Peter Bisztyga: Very good. Thanks very much.
Operator: The next question comes from Mark Freshney at UBS.
Mark Freshney: Hello. Thank you for taking my question. Mads, just strategically thinking in the 2030s, given that essentially your pipeline through to 2030 is basically almost fixed down. Beyond 2030, the areas which have served you well, which is UK and Germany, you've basically run out of seabed or consented seabed that's high quality, which is arguably a good position to be in, but you are very much at the mercy, perhaps, of the US, Taiwan, but you don't have particularly much consented seabed and you'd be competing for bundled rights and projects and contracts. So, my question is, what are the options for dealing with this, and how do you think about beyond 2030?
Mads Nipper: Yes, thanks a lot, Mark. You're right, that, I mean, with the awards on Hornsea 3 and Hornsea 4, we essentially are sort of have gotten to where we would need to be by 2030. We retain options open until then. But for now, this would something that would bring us there on the offshore side. We are developing new opportunities in the UK. So, for example, on of Isle of Man, and of course we'll be watching also closely what are our upcoming seabed auctions from the Crown Estate, and watch out what would be a good and opportune time to also potentially acquire new real estate there. But this is something we would be watching and we are in no rush to secure that. Being at the mercy of the US and Taiwan is a bit of a harsh word. We actually see both markets as very attractive. But bear in mind that the centralized auctions that - of which, for example, Denmark, Germany, Netherlands, Belgium, these are options where you don't need to have the proprietary seabed. And the last couple of auctions in Germany, we have not found attractive, but we also have a number of additional projects in our pipeline, such as the 1.6-gigawatt greater Incheon product in Korea. We got an almost five-gigawatt lease in Australia. And we will of course, continue to watch out for opportunities, along with the significant remaining part of lease area 500 in the US. So, we do feel on balance that with a combination of an expected high amount of centralized tenders and an attractive pipeline, that we can choose the most attractive options against that, we are in good shape going into the 2030s.
Mark Freshney: Thank you very much, very clear.
Operator: We continue with a follow up from Harry Wyburd at BNP.
Harry Wyburd: Hi. Thanks, everyone. Thanks for taking another follow-up. So, I'm not sure to what extent you'll be able, or willing to comment on this, but I wanted to ask about Equinor taking their stake in you. I'm particularly interested, given that there's a sort of element of irony because you are obviously trying to raise a lot of funding and then they come in and take a big secondary stake in you. So, were there any discussions with Equinor before them taking a stake about perhaps whether they would look at buying some assets off you instead of buying you, or even take a primary stake, which obviously would solve sort of funding issues. And does the presence of Equinor change how you think about managing the business and the balance sheet looking forward? And could they be a partner for capital raising or funding via asset sales in future? Thank you.
Mads Nipper: You are very right, Harry. I will not comment specifically on the changes related to our shareholder base. We became aware of Equinor's increased ownership share following only their announcements to the public market, and we remained fully focused on executing our strategy and delivering on our mid and long-term targets. And it's not for us to comment on Equinor's potential intentions.
Mark Freshney: Okay, thank you.
Operator: Our next follow-up comes from Dominic Nash at Barclays.
Dominic Nash: Yes. Hi, and thank you again for follow-up question. This morning, the UK NISO published their Clean Grid 2030 program. I don’t know if you've had a chance to look at it, but I just thought would ask you what your thoughts were and the opportunities to Ørsted on that as well the zonal pricing in the UK. Are you for or against zonal pricing in the UK, and what impact would that have on Ørsted? Thank you.
Mads Nipper: Yes, thanks a lot, Dominic. You are right in your assumption that the day has been a little bit too busy for us to read that material. I propose you pick up the dialogue with IR, and we'll be happy to share our views.
Dominic Nash: The zone pricing has been around for a long time. Do you have a view on that one?
Mads Nipper: Not one that we'd share at this stage.
Dominic Nash: Okay, thank you.
Operator: Our next follow up comes from Deepa Venkateswaran at Bernstein.
Deepa Venkateswaran: Thank you so much for allowing a follow-up. Actually, I wanted to go back to something you said earlier, Mads, about a potential tariff in the US being phased in. So, right now, obviously Revolution Wind is very advanced, but Sunrise, you're just going to start. So, could you maybe explain what you think a construct of a transition phase might be, and would there be any way to kind of get some of the equipment over to the US from Europe earlier? I don't know if your turbine supplier is even manufactured but yes, maybe some ideas on what this transition might look like. Thank you
Mads Nipper: Thanks, Deepa. No, I mean, this was pushed on a question of what might happen only. We do not have any specific scenarios, but just saying that for Revolution, that's to a very large extent imported. And for Sunrise, we would feel comfortable with the current schedule of the project that what would - even in the case of this, would be introduced, which again is purely speculative, then that we would feel that this is something that can be managed with what would be expected to be a facing, but we have no specific hypothesis or knowledge around that, that we can share.
Deepa Venkateswaran: All right. Okay, thank you.
Operator: Our last follow-up for today's conference comes from Olly Jeffery in Deutsche Bank.
Olly Jeffery: Thank you. I just wanted to ask about the DKK 3 billion provision you still have on Ocean Wind given the large cancellation fee reversal you've had in Q3. Given whatever those provisions are specifically for, to what degree, do you have any confidence that we might see a further cancellation reversal in Q4? Is that a realistic probability or not given the nature of what these provisions are for? Thank you.
Trond Westlie: Thank you. The estimate that we have taken this quarter is of course our best estimate of how we are going to end up. And as a result of that, that's of course why we have the DKK 3 billion. And the reason for mentioning the DKK 3 billion is really to show that we actually come down to such a low level that the concern around sort of winding up Ocean Wind is coming to very much a close, and that was really the reason for mentioning the DKK 3 billion.
Mads Nipper: Thank you very much. And since there are no further questions, I just want to thank you very much for your questions. Your engagement is always appreciated, and I wish you a good and safe day.